Operator: Welcome to the Advance Auto Parts Fourth Quarter 2012 Conference Call. [Operator Instructions] And today's call is being recorded. Before we begin, Joshua Moore, Vice President, Finance and Investor Relations, will make a brief statement concerning forward-looking statements that will be made on this call.
Joshua Moore: Good morning, and thank you for joining us on today's call. I'd like to remind you that our comments today contain forward-looking statements. We intend to be covered by and we claim the protection under the Safe Harbor Provisions for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. Forward-looking statements address future events, developments or results and typically use words such as believe, anticipate, expect, intend, will, plan, forecast, outlook or estimate, and are subject to risks, uncertainties and assumptions that may cause the results to differ materially, including competitive pressures, demand for the company's products, the economy in general, consumer debt levels, dependence on suppliers, the weather, business interruptions and other factors disclosed in the company's 10-K for the fiscal year ended December 31, 2011, on file with the Securities and Exchange Commission. The company intends these forward-looking statements to speak only as of the time of this conference call and does not undertake to update or revise them as more information becomes available. The reconciliation of any non-GAAP financial measures mentioned on the call with the corresponding GAAP measures are described in our earnings release and our SEC filings, which can be found on our website at advanceautoparts.com. For planning purposes, our first quarter 2013 release is scheduled for May 23 before market open, and our quarterly conference call is scheduled for the morning of Thursday, May 23, 2013. To be notified of the date of future earnings reports, you can sign up through our Investor Relations section of our website. Finally, a replay of this call will be available on our website for 1 year. Now let me turn the call over to Darren Jackson, our President and Chief Executive Officer. Darren?
Darren R. Jackson: Thanks, Joshua. Good morning, everyone. Thank you for joining us and welcome to our fourth quarter conference call. The fourth quarter brought to a close a very challenging year, yet we reached several important strategic and operational milestones. Our achievements during 2012 are a direct result of the hard work and dedication of nearly 54,000 team members. I want to say thank you to our Advance team for their continued diligence and commitment. Our bottom line results in the fourth quarter were better than expected. That being said, we are never satisfied when comparable store sales and EPS decline. Our fourth quarter results reflected sequential improvement from last quarter in sales, gross margin rate, SG&A expense control and operating profits. As we had forecasted during the third quarter call, we anticipated that the market would be challenging, and demand would continue to be weak for the fourth quarter. Our focus was to build on the third quarter sales trajectory, while materially improving our operating results in the face of near-term decelerating trends of our industry. As a result of our efforts, our market share gains were greatest in the fourth quarter, while achieving a record high operating profitability. I'm encouraged that our comparable store sales sequentially gained 30 basis points in the quarter when adjusted for the holiday shift. Our improvement was driven by both commercial and our DIY business. Quarter-over-quarter improvement in market share was driven by commercial, with consistent comp-store sales growth in each period during our quarter when adjusted for the holiday shift in December for our Advance stores. Our Commercial Business had positive trends in both transactions and average ticket size. Our DIY comps sequentially improved from Q3 to Q4, driven by an increase in the average ticket size. The increase was driven by mix of products sold and better in-store customer engagement and staffing on the weekends. The uptick in overall average ticket was principally driven by the mix of products sold, namely the impact of failure category sales. Further impacting the average ticket growth has been the increasing cost of components driven by the ever increasing complexity of vehicles and the cycling of last year's escalating oil prices. From a geographical perspective, we continue to see weakness and volatility in our cold weather markets, especially in the Great Lakes and the Northeast regions. Our performance in those 2 markets continue to be impacted by the lingering effects of the unseasonably warm weather. These regions' comparable store sales continue to trail our total company average by several hundred basis points. However, we've seen our comparable store sales stabilize in these regions over the last 2 quarters, which is very encouraging as we enter 2013. Finally, we continue to pose low-single-digit comparable store sales growth in our western markets, where we only have 10% of our store base. As you recall, during our third quarter, we invested more heavily in the sales and service elements of our business in an effort to reignite demand and drive more customers through our doors, over our phones and onto our e-commerce website. Our investments in these areas improved our sales and market share results, but reduced our profitability in the third quarter. We expected our sales and service driving investments in the third quarter would carry over and benefit the balance of the year. The improved sales momentum, combined with our focus on improving our gross margin and cost management, resulted in higher profitability in the fourth quarter. Overall, the improvement in our operating profitability was modest, increasing to a record 8.5% for the quarter. More importantly, it sets the right focus and tone as we enter 2013 to leverage higher levels of profitability on modest sales gains. For the year, our operating income rate decreased 18 basis points to 10.6% of sales, and our earnings per share increased 2.2% to $5.22. Mike will provide more specific highlights of financial performance a little later in the call. As I reflect on 2012, we achieved some critical strategic and operational milestones. Strategically, we opportunistically entered the boroughs of New York through the acquisition of 21 former Strauss Auto Parts stores and 6 Steinway Auto Parts locations. Collectively, we opened 137 stores in 2012, which is the high watermark in the last 5 years. Importantly, it is our best performing class of new stores in nearly a decade. Our success in our 2012 new store performance positions us well as we expect to open nearly 200 stores in 2013. Competitively, it will close nearly a 300 basis point annual sales gap with some of our key competitors that has impacted our total and comparable store sales over the past several years. Strategically, our greatest accomplishment was the acquisition of BWP, which closed on December 31. Certainly, BWP helps solidify our position in the very large and competitive Northeast market. More importantly, the Stockel family and BWP team as a whole are extraordinary leaders in the commercial industry. We gained proven leadership, an outstanding team and first-class customer relationships that will provide a significant opportunity to learn and improve our Commercial Business in the short and long term. We are excited to welcome BWP to the Advance organization and confident that we have one of the most preeminent commercial players on our team. Operationally, our focus on related achievements were in execution fundamentals and completing industry-leading commercial capabilities. The commercial capabilities include the launch of our in-house commercial credit program; the opening of our new daily replenishment distribution center in Remington, Indiana; reaching double-digit penetration of our new B2B ordering platform; and continued hub store expansions. These milestones are significant steps, which will allow us to more effectively compete in the larger and faster growing commercial market. Our better execution of the fundamentals including improved delivery times, more effective weekend staffing and record-low shrink, which enabled record in-stock levels, will position us well heading into 2013. Turning to 2013, we are cautiously optimistic about our outlook. Our optimism is based on several external and industry factors. Obviously, it starts with a return to more normal weather patterns, which alone will provide much-needed strength for our business. The industry is expecting a gradual increase in the number of vehicles 7 years and older, coupled with a record level of deferred maintenance in 2013. Finally, gas prices, though very volatile, are forecasted to decline, which has historically provided nice tailwinds for the industry. Internally, our opportunity still lies within the fact that we have a very small commercial market share. The investment I mentioned earlier, along with our developing capabilities, such as our B2B e-commerce site and MotoLogic, our new diagnostic tool set, along with our rollout of a new electronic parts catalog to our stores later this year, will strengthen our ability to compete and allow us to continuously increase our commercial market share, while speeding up and improving the reliability and execution of our service at the shop and store level. Our guarded view is related to a couple key macrodevelopments that temper our optimism. First is the increase in the number of people purchasing or contemplating the purchase of a new vehicle. Undoubtedly, this will be good for us in the long term. However, it will cause short-term volatility in the industry as customers are more concerned about what they invest in maintaining their aging vehicle. Second, our economy continues to be lurching with high unemployment and wavering consumer confidence. The level of financial stress on our core customer will become more acute with the most recent payroll and other related tax increases that took effect at the start of the new year. The silver lining is that this is an economy of necessity, where consumers will continue to seek value from their local aftermarket garages or perform needed repairs and maintenance themselves. My final comment on the industry and customer outlook is whether we are at a structural inflection point or simply a cyclical moment. Clearly, I believe the long-term structural drivers of our industry remain very strong. Cyclically, consumers have a renewed interest in new vehicle purchases, home investment and other select big-ticket purchases. The weather cycle will even out over time. Structurally, parts proliferation, parts complexity, aging vehicle reliability and extended import part failure rates all underpin a fundamentally sound outlook for the industry. The roughly 250 million vehicles on the road today that are over 11 years old, like human beings, are lasting longer and requiring more care. In 2012, the industry may have caught a cold, which simply needs to run its course. Our recent 2013 regional leadership and sales team meetings conveyed one simple objective for the year, which is a company of one focused on fundamentals. The expected outcome is simple, which is to make the day in terms of our customer experience, sales and profitability. Pragmatically, that means we will stay the course on a few key initiatives that will drive our growth and improve our profitability including: One, growing our Commercial Business through improved levels of delivery speed and reliability, increased customer retention and share of wallet with our national and regional accounts; two, relentlessly improving our local market availability through hub expansions, tailoring and intensifying key store availability and leveraging our supply chain infrastructure; three, expanding our new store pipeline to grow at a run rate closer to 200 stores a year versus 100, while successfully capitalizing on our BWP acquisition; four, continuing our in-store execution excellence through scheduling effectiveness, on-hand accuracy, add-on sales training and customer engagement; five and finally, increasing our efficiency and effectiveness throughout the support areas and through a more integrated store operating model. Clearly, our company priorities have a more intense operations and execution bias than years past. Strategically, our agenda remains the same as years past. Operationally, our focus has moved from building key capabilities to driving results through outstanding execution. In closing, I'd like to share one example to illustrate the points I've been discussing. Partnership is key to commercial excellence. And since last February, our new commercial credit team has become a partner that more than half of our commercial customers rely on. Financial Services Director Bill Corey and his team provide our customers seamless personalized service with flexibility that meets their needs. Advance commercial credit is creating an improved customer credit experience, while helping our team better serve their customers. This team works closely with our customers from the minute they purchase from Advance to the time they are issued credit and receive statements. The feedback has been overwhelming. Our customers love talking to the same knowledgeable people and the program's simplicity, like getting credit within minutes instead of hours. Thanks, Bill, to you and your team for all you are doing to bring services our best part to life and drive excellence at Advance. Now I'd like to turn the call over to Kevin Freeland, our Chief Operating Officer.
Kevin P. Freeland: Thanks, Darren, and good morning, and thanks to all of our team members. Even though 2012 was a challenging year, their efforts and milestones reached have made 2012 a pivotal year in our profitable growth journey. As I begin my prepared remarks, I'd like to go into a little more detail on these accomplishments and provide an update on our progress on the key priorities that support our superior availability strategy and new store growth. As I've mentioned on our previous calls, our focus with respect to superior availability is on providing our customers with the best-in-market availability and consistency of service, both in order accuracy and delivery speed. The areas of priority continue to be the expansion of our hub network, the continual upgrade of our parts inventory at our non-hub stores, the opening of our new DC and the implementation of our daily replenishment capability, the growth in new stores and the continued growth and rollout of our B2C and B2B e-commerce platforms, commercial diagnostic tool and our electronics part catalog. In our fourth quarter, we continued to expand our hub network through new store expansion and the upgrade of existing stores, which have the space and are strategically positioned to operate as a hub. As a result of this work, we added 11 additional hub stores, bringing our hub store count to 339 versus 294 at the end of 2011. We also upgraded the inventory at 211 non-hub stores during the quarter. Including our hub store conversions, we've upgraded the inventory to over 1/4 of our total store base. This was no small effort by our inventory and store teams, and this work positions us to provide the products our customers need when they need them. Our fourth quarter also marked our first full quarter where our Remington DC was fully operational. The opening of this new DC was critical on 2 fronts: One, it gives us much needed additional capacity as the result of our store growth over the past 5 years and will relieve a great deal of pressure on other DCs; two, Remington will be a model for us in the future in terms of automation, which we expect will greatly improve our productivity and efficiency and allow us to replenish our stores daily. We'll continue our rollout of shipments to stores within Remington's service area in phases, ultimately ramping up to over 400 stores this year. The initial rollout of daily replenishment has been going well, with all 195 stores receiving daily shipments at the end of 2012. Our initial results are promising as the potential to provide best-in-class availability is one of our top goals. Once this new DCs begin servicing its entire market, we expect it will begin to improve our supply chain costs and strengthen our gross profit rate. As a result of our store-level upgrades, the opening of Remington and a higher mix of parts inventory, our total inventory increased 13% to $2.3 billion. This increase is in line with our expectations and will position us well into 2013. We anticipate our total inventory will continue to grow in 2013 as we focus on increasing the overall breadth of our parts assortment, improving our position with larger commercial customers and integrating BWP. However, our growth in 2013 will likely be at a slower pace than 2012. That being said, we continue to work aggressively to free up capital to fund other parts of our business and improve our return on invested capital through our supply chain financing program. Our work in this area translates into expanding our accounts payable to inventory ratio, which increased roughly 700 basis points from 80.9% at the end of 2011 to 87.9% this year. Our own inventory decreased 28.5% or $111.2 million from $390 million to $278.8 million. Over the past year, we've been working aggressively to improve our e-commerce capabilities to better compete within our industry. To that end, we turned our efforts toward increasing the amount of our Commercial Business that's transacted online. We expect to continue to increase the B2B penetration rate over time. This will position our company to strengthen our relationship with larger and more national commercial garages, as well as improve both the frequency and retention rate of our existing commercial customers who utilize this capability. In April of last year, we had our full debut of MotoLogic, which we acquired in October of 2011. MotoLogic provides the best-in-class repair and diagnostic capabilities. We're still in the early stages of our rollout, but our initial customer response has been great. Our B2C site continues to make great progress, and we achieved new levels of performance. As I mentioned last quarter, we now have the #1 multichannel site in the markets we serve. Our B2C team ended the year with record sales and achieved $1 million in daily sales twice during the fourth quarter. This progress is fantastic and is only a glimpse of the possibilities our mobile and electronic capabilities can provide. Turning to our new store openings. We added 67 new stores, including 2 new Autopart International stores and Autopart International's acquisition of 6 former Steinway stores. This has been a record quarter for new store openings, and our teams have done an excellent job ensuring that the quality in which we open stores is at the highest standard. For the year, we added 137 new stores, including 21 Autopart International stores and closed 5. As of December 29, 2012, our total store count was 3,794 including 218 Autopart International stores. Our 2012 class of new stores continues to perform very well meeting our internal expectations of sales growth and overall sales productivity. As I mentioned last quarter, our 2012 class of stores is proving to be our most successful in terms of sales productivity, and the pace of their weekly sales ramp. As Darren discussed, we acquired BWP at the beginning of fiscal 2013. We're very excited about this affiliation, as BWP is one of the strongest commercial-only distributors within the markets they serve. This is a great opportunity for us to learn and integrate the best of Advance Auto Parts with the best of BWP and expand what they do to the rest of our commercial programs. On day 1, BWP will have a positive impact on our performance. We expect them to add $170 million to $180 million of sales to our business this year in incremental operating income dollars. We plan to integrate and convert the 124 BWP stores to our systems and branding over a 2- to 3-year period. We will continue to give you updates on any material developments as we work to convert these stores. As a result of this conversion process, we anticipate the net impact of the acquisition will be slightly dilutive to operating income for the year. Finally, I want to provide you a brief update on our progress to improve our gross profit rate. As you might recall, our goal after our second quarter 2012 results was to stabilize our sales trends, reverse our decelerating trends, while improving our overall gross profit rate. Through our efforts to better safeguard our inventory, maintain our disciplined approach in pricing, partnering more effectively with our suppliers and better managing our promotional activity, our gross profit rate increased 87 basis points to 49.9% versus 49.0% during the fourth quarter of 2011. For the year, our gross profit rate was 49.9%, which was up 19 basis points versus 2011. As we look ahead, we continue to see modest improvements in our gross profit rate for 2013 as we improve our product acquisition costs, generate increased supply chain efficiencies and continue to maintain our disciplined pricing strategy and shrink management. The improvements will be partially offset by the continued supply chain investments. Now let me turn the call over to our Chief Financial Officer, Mike Norona, to review our financial results in more detail.
Michael A. Norona: Thanks, Kevin, and good morning, everyone. I'd like to start by thanking all of our talented and dedicated team members for their commitment to serving our customers as we navigated through a challenging fiscal 2012. I would also like to welcome our new BWP team members. I plan to cover the following topics with you this morning: One, provide some financial highlights from our fourth quarter of 2012; two, put our fourth quarter and year-to-date results into context with our expectations and key financial dimensions we use to measure our performance; and three, share with you our financial outlook for 2013. 2012 was a challenging year for our business in the markets in which we operate. Our fourth quarter performance and full year results were primarily driven by the ongoing softness in our colder-weather markets. In addition, our results were impacted by fluctuating gas prices, high unemployment and a tough economic environment with more uncertainty, which decreased consumer demand for auto parts. As Darren mentioned, our focus all year has been to influence the things that are in our direct control. And we continue to be focused on achieving our longer-term growth and profitability goals by maintaining our strategic focus, executing on the fundamentals and simplifying our operations. While we are disappointed we did not achieve our growth and profitability expectations, we are encouraged by our improved sales performance trends versus the market and generating positive operating income growth in our fourth quarter. This improvement translated into a fourth quarter sales increase of 0.1% to $1.3 billion, despite a comp store sales decrease of 1.9%. Adjusting for the impact of the calendar shift in Q4 where we lost a couple of selling days as Christmas fell on a Tuesday this year versus a Sunday last year, our comp store sales decreased roughly 1.5%. Offsetting our comp store sales decline was the net addition of 132 new stores over the past 12 months. Our total sales for fiscal 2012 increased 0.6% to $6.2 billion, and our comp store sales decreased 0.8%. Our fourth quarter gross profit rate increased 87 basis points to 49.9% versus 49% in Q4 of 2011. The increase was primarily driven by continued improvements in our shrink performance and supply chain efficiencies, driven by the increased volume of inventory handled during the quarter, partially offset by investments in our supply chain driven by the opening of Remington and increased new stores. For the year, our gross profit rate increased 19 basis points to 49.9%. Year-to-date, our commercial mix represented 38.1% of 2012 sales versus 37% in 2011. Our fourth quarter SG&A rate of 41.4% increased 79 basis points versus the fourth quarter of 2011, primarily due to the expense deleverage as a result of our 1.9% comp store sales decline, increased new store openings and costs associated with our acquisition-related activity during the quarter, partially offset by lower incentive compensation. For the year, our SG&A rate increased 36 basis points to 39.3% versus 39% over the same period last year. The increase in our SG&A is principally due to our fixed costs deleverage as a result of our 0.8% comp store sales decline. All in, our fourth quarter operating income dollars increased 1.1% to $113.2 million, and our operating income rate increased 9 basis points over the same period last year to 8.5%. This was on top of a 182 basis point improvement in fourth quarter 2011 over fourth quarter 2010. Our diluted earnings per share decreased $0.02 to $0.88 during the quarter versus $0.90 in the fourth quarter of last year. For the year, our operating income dollars decreased 1.1% to $657.3 million, and our diluted EPS increased 2.2% to $5.22. Our average diluted share count was 74.1 million shares at the end of Q4. For the year, free cash flow was $412.3 million, down $94.9 million over the same period last year. The largest driver of the decrease in free cash flow was our planned increase of $89.9 million in our accounts receivable as a result of the in-sourcing of our commercial credit program. Our inventory increased 13% primarily in car parts categories driven by the opening of our Remington DC, our investments in hubs and store-level inventory upgrades, more new stores and to position the company for a strong availability in 2013. Our investments in inventory continue to be enabled by reductions in our owned inventory, which decreased $111 million compared to the end of 2011, and was driven by our continued efforts to increase our accounts payable to inventory ratio, which now stands at 87.9% versus 80.9% in Q4 of 2011. At the end of the fourth quarter, we had $598.1 million in cash and $604.5 million of long-term debt on our balance sheet. Our adjusted debt-to-EBITDAR ratio was 2.2x, which is well below our previously stated ceiling of 2.5x. We continue to measure our performance, the financial dimensions of growth, profit and value creation. Our approach in philosophy has always been to prioritize growth as our primary use of capital in order to increase returns and drive shareholder value. Our investments over the course of this year have been centered on accelerating our commercial growth and stabilizing our DIY business by improving our availability through our hub store openings, inventory upgrades, supply chain investments and strengthening our market position with increased new store openings. We are very proud that in our fourth quarter, we implemented our first wave of daily replenishment, entered the boroughs of New York and finalized our commercial credit in-sourcing. We are also excited about our acquisition of BWP, one of the leading commercial players in our industry. This acquisition closed at the beginning of 2013 fiscal year. While we prioritize growth as our #1 use of capital, share buybacks have always historically been a part of our capital allocation. We made the deliberate decision to slow our share buyback program in 2012 to preserve capital as we explored growth opportunities, including the acquisition of BWP. Looking ahead, we plan to continue our historical practice of opportunistically repurchasing shares in a disciplined manner in 2013 and beyond. Currently, we have roughly $492 million left under our share repurchase authorization at the end of Q4. Turning to profit. We remain committed to improving our profitability, which requires both delivering on our sales growth goals, primarily driven by commercial, and developing a more cost-competitive operating model. While we are not satisfied with the progress we made to our profit model in 2012, our plans in 2013 and beyond are focused on improving our profit model, which I will cover shortly in our annual outlook. As we look at value creation, we continue to maintain our disciplined approach to capital, which is reflected in our return on invested capital of 19.4%. ROIC decreased modestly from our fourth quarter last year, driven primarily by our planned increase in accounts receivable due to our commercial credit in-sourcing and lower operating income. Our AP ratio at the end of fourth quarter was a record 87.9%, and we remain focused on achieving an AP ratio of 100% over time. Turning to our outlook for 2013. Our performance will be driven by continued growth in our commercial sales, improved availability, increased new store openings, improved execution, modest improvement in gross profit rate and improvements in our cost structure. We expect the industry dynamics to remain favorable and anticipate to return to more normal weather patterns. These will be somewhat offset by continued volatility in the economic environment with more uncertainty impacting the consumer, such as increased taxes, relatively high unemployment and continued volatility in gas prices. As a result, we anticipate our comp store sales to grow low-single digits driven by stronger commercial comps. We plan to open 170 to 190 new stores and work to integrate the 124 BWP stores we acquired at the beginning of the fiscal year. We anticipate BWP to add approximately $170 million to $180 million of incremental sales in 2013. As a reminder, BWP will not be reflected in our comparable store sales calculation until fiscal 2014. We anticipate our gross profit rate to modestly improve, driven by merchandising capabilities and global sourcing, offset by competitive headwinds, the integration of BWP, which has a lower margin rate, and an increased mix in commercial sales. We anticipate our SG&A to deleverage, driven by increased new store growth, more normalized incentive compensation, the annualization of new stores from 2012 and approximately $0.15 to $0.20 of onetime integration costs for BWP. These costs will be somewhat offset by improved labor productivity, more effective marketing spend and improvements in our non-customer-facing support costs. All in, we anticipate our SG&A per store to increase 3% to 5%. We anticipate our quarterly operating profit for our first quarter of 2013 to decline mid to upper single digits given the current industry softness, tougher sales comparisons, the annualization of 2012 new stores along with the heavy concentration of stores opened in the fourth quarter of 2012 and higher incentive compensation. Turning to capital expenditures. We expect to invest approximately $275 million to $300 million, driven by new store development, supply chain investments and store systems. We expect free cash flow to be a minimum of $375 million, excluding the acquisition costs of BWP, which was approximately 1x BWP sales. Finally, we estimate our 2013 annual operating EPS outlook will be in the range of $5.45 to $5.60 per share, excluding onetime integration costs of BWP of approximately $0.15 to $0.20. On a reported basis including the BWP onetime integration costs, our EPS outlook is expected to be $5.30 to $5.45. This annual outlook reflects a weighted average share count of approximately 74 million outstanding diluted shares. Consistent with our historical practice, our outlook does not reflect any anticipated share repurchase activity. As we have previously shared, we plan to continue our historical practice of opportunistically repurchasing shares in a disciplined manner, which could possibly impact our 2013 annual EPS outlook. In closing, we are disappointed we did not deliver on the financial expectations in our fourth quarter and in 2012. We remain committed to improving our performance in achieving our longer-term growth and profitability goals by maintaining our strategic focus, investing in the key areas such as commercial and availability and executing on the fundamentals. We also have great confidence in our team's ability to improve our performance based on their talents, character and competitive spirit. Operator, we are now ready for questions.
Operator: [Operator Instructions] Our first question today is from Gary Balter with Crédit Suisse.
Gary Balter - Crédit Suisse AG, Research Division: One question and one follow-up. You talked about Remington and what it's doing for you. Could you -- I don't know if you could quantify in the 195 stores where you said you've already rolled it out, the type of impact you're seeing from that. And then past Remington, could you talk about the rollout of further distribution centers into this year and following years?
Darren R. Jackson: Gary, I'll frame it and Kevin will give some of the details. Maybe I'll start with the back half of that question. So as we look at the daily replenishment opportunity long term, right now as we've said before, we're going to start with Remington and understand the lift. And we're delighted with the first set of stores that we've seen, and Kevin will give you a few more details on that. We've committed to a second center in the Northeast, in part because of the expansion in the Northeast and also in part because of our initial optimism that we had been -- that we had seen in some of our tests in terms of daily replenishment as well. I think longer term, what we're trying to balance is that these are not cheap facilities. We have found a number of ways through the process now to get the costs down. So after we get done with Connecticut, there are a few other places in the country we'd look to go to next. But I -- what I found is that if you get too far ahead of yourself in terms of kind of the disclosing where those are, for competitive reasons, that's not good, and making sure that the theory that we see on paper turns out in reality. And right now in Remington, at least the initial stores that we're seeing the lift numbers from the stores that are receiving daily replenishment, we're pleased with. Kevin, what would you add to that?
Kevin P. Freeland: Sure, Gary. So as I said in my remarks, there were 2 reasons why we opened Remington. One was it's the first DC we've opened in many, many years, first DC I've opened in the 5 years that I've been here. And just based on store growth and comp store gains over the years, it was needed just to keep up with the demand. Second is obviously, it's a different facility with a different role. In the lifts that we're seeing, we essentially built a pro forma that was based on 2 things: It's less costly for us to run that facility because of automation and then it lifts because of better in-stocks in our stores. And essentially, the lifts that we're receiving today are ahead of that pro forma. And we're still in the early phases of kind of the shakedown cruise of the new DC. As Darren said, we -- and that would be -- essentially became our ninth DC. We've secured a 10th DC in Connecticut, and work is underway to replicate that work up there. One of the things that's highly sensitive here is how far can we deliver the product based on the sales lift and the humble assumptions we began with suggested 150 miles. At this point, essentially the question that we have is based on the sales lift, can that get pushed to 200 miles. And we'll have a better sense of that over the next few quarters. Assuming that in fact, that becomes the case, most all of our stores are within 200 miles of the 10 DCs we would then have. And what we have is a new capability that can be deployed into those DCs. So I think the future of this is to play out over the next several quarters. But it has a lot more to do with just leveraging what we've already done more so than a significant change of the facilities that we previously owned.
Gary Balter - Crédit Suisse AG, Research Division: So just following up on that. The -- ignoring, let's say, like the DCs that are on the outskirts like in Kansas. But in the other ones, could you reformat them to take a lot of what you have in Remington? Or do you have to build new facilities?
Kevin P. Freeland: The existing plan today is inordinately weighted to leveraging the 8 legacy DCs that we have.
Gary Balter - Crédit Suisse AG, Research Division: Okay, great. And just following up, we've written about the polar vortex and the impact of the weather on sales. And we're getting a big storm right in your market this weekend, which I'm happy about, but other people may not be. When do you think we'll see -- assuming that it was weather, and clearly, your results point to that given the difference between the weather impact of markets or not. When do we start seeing the benefits of the snow and the cold that we're getting this winter?
Darren R. Jackson: Yes, Gary, our best estimate, as Mike highlighted in his comments is, as we look at our business, Q1 is our longest quarter with 16 weeks. We would be looking in terms of the wear and tear is going to continue to occur through the first quarter. As we begin the second quarter and the balance of the year, that's where we see the uptick. As we said in our comments, we're cautiously optimistic. One of the pieces in the caution is that our Northeast business early on in the year last year was still pretty strong. It really felt the effects of the winter as we got into, say, that later in that March, April and beyond time period. So when I step back, we have such a large footprint in that Northeast and Great Lakes region. Great Lakes was equally a good business, and we're looking for both of those regions to see that bounce back as we head into Q2 and the balance of the year.
Operator: Our next question is from Michael Lasser with UBS.
Michael Lasser - UBS Investment Bank, Research Division: You alluded to share gains that you experienced in the quarter, can you talk about those in a little bit more depth? And is there a way that you could tie the share gains to some of the actions that you may have taken earlier in the year?
Darren R. Jackson: Yes, Michael. When we refer to that, what we're doing is looking at the NPD data in aggregate. And what we can see is our fourth quarter was by far our best quarter in terms of commercial share gains. We continue to give up some DIY share in the quarter. Just to be clear, just to highlight one thing, over the last several years, we made a deliberate decision to slow down new store growth in favor of focusing on our commercial capabilities. When we did that, we've been running at a rate of about half of some of our competitors in terms of new stores. And principally, the way you grow DIY share these days is through new store growth. And so we expect that share gap, particularly as we go into 2013, to close. And what you should take away from that too, the new stores that we are adding, we have been over last 2 years focusing on how do we position those to better serve the commercial customers, while delivering a DIY experience that certainly we'd be proud of. The New York class that we have now, this is the best class that we've had in nearly a decade. So we're upbeat about -- we're staying on strategy in terms of commercial -- in terms of commercial growth, while being able to reposition the DIY business for share gains in the future again.
Michael Lasser - UBS Investment Bank, Research Division: And then given the performance of those new stores, the most recent class, do you get, you mean just a modest lift to your comp as those fall into the comp base?
Darren R. Jackson: Oh, absolutely. Yes, absolutely. Our estimates over the last several years, and I've talked about this before, is that versus some of our known competitors, it's probably about a 300 basis point gap that we've been experiencing. Certainly, you can see it in the totals, but the way these store models work, you experience significant comp store benefits in year 2, 3 and 4. Usually, it's about 4 years before you ramp to a maturity level in the stores.
Michael Lasser - UBS Investment Bank, Research Division: That's super helpful. One last question, maybe for Mike. On the 3% to 5% growth in SG&A per store, how does that going to break down? Or is there any way you could just provide a little more detail on the nature of those -- to quantify the nature of those investments that you're going to be making in the upcoming year?
Michael A. Norona: Yes. There's a couple that are the big drivers of that. So one of the drivers that's in that 3% to 5% SG&A per store increase is we acquired BWP. That's over 1/2 of that increase. And that -- their SG&A isn't growing. We just put their SG&A now on top of our SG&A. So that's 1/2 of it. And then the other big driver -- 2 big drivers are our new stores. So we've accelerated our new stores. And we again look 170 to 180 and more normalized incentive compensation. So those are the 2 drivers. And then the offset to that is improved labor productivity, improved marketing effectiveness. And then obviously we're going to continue our cost work around pulling out costs furthest away from the customer.
Operator: Our next question is from Matthew Fassler with Goldman Sachs.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: My first question is about the buyback. And to your point you had abstained from buying back stock last year. How do you think about value? You talked about being opportunistic. What criteria do you use? And in that vein, you talked about your buyback through 2012. Have you bought back any stock year-to-date?
Darren R. Jackson: Yes, so Matt, maybe I'll do your last one first. We don't comment on our buyback before we do it. So I won't comment on that. We did say that we did kind of pull back on our buyback program last year as we preserved capital to look at sales growth opportunities including buying BWP. And what I will tell you is our philosophy on buyback hasn't changed. So you ask, what do we do? We look at value. And the first use that we think about when we're deploying our capital is we prioritize growth, so investing in the business. And then we look at buyback as also another way to pay back the shareholder and create long-term value and we take a long-term disciplined approach. We do use a DCF model that we shared before. And the good news is, that can sometimes frustrate shorter-term shareholders that hold us for shorter periods of time, but longer term shareholders have benefited because we bought back 41% of the company at an average price of just under $42. So our philosophy hasn't changed. What did change a little bit last year is we were looking at those sales growth opportunities, and what we did say in our remarks, is we do plan to resume our historical practice of buying back shares in a disciplined manner as we've done in the past. And also as a reminder, in our annual outlook, we have not included any share repurchases.
Matthew J. Fassler - Goldman Sachs Group Inc., Research Division: Understood. And then second question if I could. So you've spoken about some high level enhancements that you expect to make over time to your fulfillment capabilities. You also spoke separately about your desire to increase your traction with some national accounts. And I guess my question is, if you think strategically about where you stand competitively in terms of your ability to provide optimal service to all sorts of commercial accounts, is there a class of business or a class of customer where you feel you've been underpenetrated from a market share perspective relative to peers? Or you think your ability to compete and maybe for first call is going to grow as a result of some of these logistics efforts?
Kevin P. Freeland: Yes, Matt. So let me put all 3 of those together because being about Advance Auto Parts 5 years ago, our Commercial business was $1 billion. Today, it's $2.3 billion. By and large, the growth has all come organically. So it's not about us simply adding programs to DIY stores. That was done a decade ago. And as we have taken that journey from a DIY exclusively focused retailer 15 years ago, our first step is that, I'll call it, the small mom-and-pop garages were just easier for us to deal with. In many ways, they looked like our DIY customers that we were comfortable serving. And I would say today, over the last 5 years we have grown significantly whether it's our relationship with Monroe, our relationship with Sears, our relationship with Goodyear and our relationship with Brakes Plus. All of those customers in some ways are helping us understand better what we need to do to be effective with them long term. Our push in availability specifically and import parts to bolster availability to the customer, daily replenishment is all reflective of the reality that serving these larger customers starts with availability. But it also includes, as Mike highlighted, our need to get into the commercial credit business. Our experience on that with our partner just was not what our larger accounts expected was one. And then two, we talked about our B2B platform. Two years ago our penetration on that was close to 0. We surpassed 10% this year, on our way to 20%. And the majority of those, as you would expect, are the larger bay garages in terms of reflecting those capabilities. I feel like we're in great shape today in terms of our sales force and how we're focusing them in terms of our platinum, diamond customers and their growth expectations. I feel terrific about what the teams have done in-store. We talked about our shrink results this year. Shrink is helpful because we see that in the P&L, but what's really helpful is the in-stock levels at the local store level. So organizationally, as I said, this has been a journey of 5 years to get to a set capabilities that those larger bay customers are an opportunity for us principally versus the traditional WDs for sure. I will tell you one of the benefits of BWP, when we look at their business, is that nearly 2/3 of the business that they're doing are with customers that we weren't doing business with. And they tend to be larger bay customers. Neil Stockel, who is in the Stockel family, have been just fantastic. And we see them as real resource to help us understand how to penetrate and grow even deeper relationships with those larger bay customers.
Operator: Our next question is from Colin McGranahan with Bernstein.
Colin McGranahan - Sanford C. Bernstein & Co., LLC., Research Division: First, just on the BWP, focusing on that for a second. Can you give us a little detail on the integration and what those costs will be in 2013? Just looking at the EPS guidance, it looks like it translates to maybe $18 million to $24 million of actual integration expenses, which seems a little high at 10% to 14% of the sales of BWP. So maybe you can just give us a little more specificity on what those integration costs are, and how that integration is going to go?
Michael A. Norona: Yes. So, Colin, this is Mike. I will start that and Darren, you can add any comments. But first of all, we're not going to go into a lot of details on our integration costs from a competitive standpoint. But let me give you a little bit of a frame. We said that these are onetime costs whenever you buy a company. One of the things that was a little bit unique about the BWP business is they had the company-owned stores and then they had the independents. We don't have the independents. So part of the costs are kind of separating the DCs and moving the DCs to the GPI -- the DC and the GPIs. So there's going to be some costs associated with that. And then there's just integration costs. As you transition, as you make changes, as you move things around and convert things. So those are where the costs are. And I want to be clear, those are onetime costs, $0.15 to $0.20. Obviously, those are estimates right now, and our goal will always be to beat those numbers. But that's our best view right now. I think the more important part about that business is, and I think Darren said it, we're extremely excited about it as it gives us some access to some new capabilities, some very talented people, including the Stockel family and all our team members. And so far, we're off to a fabulous start in that business. And then we also said that if you net out and take away the integration costs of that business, the sales of $170 million to $180 million is actually accretive to our business. It's in the commercial space, so we're really excited about that.
Darren R. Jackson: Yes, I don't have much to add, Colin, except just imagine you have 3 DCs. Products co-mingle. There's going to be a fair amount of work on the front end just to realign all the products to support the company-owned stores, to support the stores that GPI will be taking as a part of this. And then there's repositioning in our own markets. There's going to be real estate related costs that drive a fair amount of that onetime costs. And then there's just the natural retention in people type of costs too. So our goal is to actually get those behind us, and always to try to achieve a lower level of integration costs than what it takes. But we thought it was just helpful to frame that for the outside world.
Colin McGranahan - Sanford C. Bernstein & Co., LLC., Research Division: Great. That's very helpful. Just a second very quick follow-up on new store expansion. 2013 and even beyond, obviously you're starting to accelerate the expansion a little bit here. Can you geographically talk about where the emphasis and focus will be, contrasting existing markets, new markets? It sounds like New York City and then New England area might be a bit more of an emphasis? And then further west as well.
Darren R. Jackson: Sure. Kevin?
Kevin P. Freeland: Yes, Colin, this is Kevin. So essentially, there's 2 elements. The easy question -- or easy answer to your question is, what's our plan in 2013? And we have markets that were materially underpenetrated. And as we had in our prepared remarks, we entered New York City. New York City is just on the commercial side, over $1 billion in volume and it's a market we just entered last year. We, through the BWP acquisition, making a big bet in the Northeast. But the majority of our stores that we opened in 2012 were in the Northeast, and that will remain true as we go through 2013. So it's essentially storing out markets that we're underpenetrated in. We're also making a material push into Chicago, and that's another underpenetrated market. As you move forward to 2014 and beyond, you look at a map of Advance and it's an East Coast-based company. And we've commented on that and the impact of the weather. And the entire West Coast of the United States is essentially what we would be moving to over the next several years.
Operator: Our final question today is from Dan Wewer with Raymond James.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: Darren, you noted a number of initiatives that further grow your commercial market share. But on do-it-yourself I believe the only catalyst is accelerating the number of new stores. But beyond that, is there anything in the works to improve the do-it-yourself productivity? And also I may have missed it, did you provide the do-it-yourself commercial sales mix in your prepared comments?
Michael A. Norona: Yes, Josh, will...what?
Joshua Moore: 38.2% is our commercial mix for the year.
Darren R. Jackson: Yes. And we would see that grow into over 40% next year with BWP and our other commercial efforts.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: Joshua, what was it for the quarter?
Joshua Moore: 38.2%.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: That was for the year or the quarter?
Joshua Moore: Quarter.
Darren R. Jackson: Quarter. Okay. And then, Dan, on DIY, it was blended into the comments, but it's a great question. So within DIY, Kurt Schumacher, who has been in the industry 39 years, with us for 12 years, took over our store organization midyear, our field organization. I tell you, Kurt is just passionate about the simple fundamentals of the DIY business, including when you look how DIY trends work these days, Friday, Saturday, Sunday are the days for the business. He's put a lot of effort into simple things and the fundamentals, which include the weekend staffing is one. We've talked before about down to the team member, we can see that average basket each team member is moving in a store these days. We've put in a lot of effort in growing the average ticket. We've said for years, and others may disagree with us, the DIY business is a 0 to 1 grower in total. The focus we've all been challenged by ticket growth and their -- our transaction growth for years. What we realize as we benchmark, some of our average ticket in store were low. And so our efforts this year have a lot to do -- and as you travel our stores, as I know you do, is focusing on our add-on sales efforts. We talked about later in the year we're going to be rolling out our internal languages, find it fast, get it fast, our new EPC. So today, our EPC doesn't necessarily make it easy for someone without deep auto industry knowledge to be able to put together a complete solution for the customer. Others have that ability on the EPC to kind of put together a complete bundle. What we see as the opportunity as we roll out our EPC, what we're doing is transferring some of the knowledge in selling process in the electronic parts catalog and allowing that associate at the counter, that team member at the counter to be able to put together a complete break bundle, to put together a complete oil change offer, and to be able to measure it and give feedback on that as well. And so I am very optimistic. We had our catalog built by our best parts pros in our stores and our general managers. We're beginning the, as Kevin would say, the shakedown process for that. And making sure that when it does hit the store, it works as advertised. But that's where I see the growth coming in DIY is the combination of new stores and growing the average ticket, not through hope, but actually through the training process and ultimately supporting that through the new parts catalog as we get through the back half of the year.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: And then just one quick question for Mike. You're guiding first quarter operating profit to drop, what, 5% to 8%. Is the increase in the incentive comp, is that the key reason for that decline?
Michael A. Norona: Yes. Hey, Dan, before I hit that question -- and I know you always like to get to precision with your numbers, so let me give you -- so the Q4 mix of commercial was 37.9% and the annual mix of commercial was 38.1%. And then the drivers -- and then in terms of the drivers, there's a few of them. First of all, we're going to be anniversarying -- so we've got more -- if you remember, I think we took out about 221 basis points of costs last year of leverage, so we're anniversarying that. Two, is our new stores, so we're adding new stores. And last year, our new store mix was more at the back half of the year. This one is going to be spread out through -- evenly throughout the year. And then we have -- the third one component is the annualization of those stores. So typically, we opened 67 stores up in the back half of the year. As you know, the heavier costs are at the beginning of that, so that will be the third component. And then the last component is the incentive compensation. So as we know -- it's not increased incentive. It's just normalizing incentive comp, just given our lower performance last year just resulted in lower incentive comp.
Daniel R. Wewer - Raymond James & Associates, Inc., Research Division: Are you still thinking same-store sales are slightly negative in 1Q before flipping positive?
Michael A. Norona: Yes, we don't give out quarterly guidance around that, but you can read into Darren's comments. I think Darren gave a good frame of how we think about the quarter.
Operator: Thank you. I would now like to turn the conference over to Joshua Moore for closing comments.
Joshua Moore: Thank you, Wendy, and thanks for our audience for participating in our fourth quarter earnings conference call. If you have any additional questions, please call me at (952) 715-5076. Reporters, please contact Shelly Whitaker at (540) 561-8452. Thanks again and that concludes our call.
Operator: Thank you. This does conclude today's conference. Thank you very much for joining. You may disconnect at this time.